Operator: Ladies and gentlemen, thank you for standing by, and welcome to Ballantyne Strong Inc Fourth Quarter 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn this call over to Mr. John Nesbett of IMS Investor Relations. Thank you, sir. You may begin.
John Nesbett: Good afternoon and welcome to Ballantyne Strong's earnings conference call for the fourth quarter ended December 31, 2020. On the call today from Ballantyne Strong are Mark Roberson, Chief Executive Officer; and Todd Major, Chief Financial Officer. Before we begin, I'd like to remind everyone that some statements made on this call will be forward-looking in nature. These statements are based on management's current views and expectations as of today, and the company is under no obligation and expressly disclaims any obligation to update forward-looking statements, except as required by law. These statements are also subject to risks and uncertainties that may cause actual results to differ materially from those described on today's call. Risks and uncertainties are also described in the company's SEC filings. Today's presentation and discussion also contain references to non-GAAP financial measures. The definition of non-GAAP terms and reconciliations to GAAP measures are available in the earnings release posted in the Investor Relations section of the website. Our non-GAAP measures may not be comparable to those used by other companies, and we encourage you to review and understand all our financial reporting before making any investment decisions. At this time, I'd now like to turn the call over to Mark. Okay, go ahead, Mark.
Mark Roberson: Thanks John. Good afternoon everyone and thanks for joining us today. I will start on Slides 2 and 3. Actually, 2020 was a busy year and also a challenging year. It was also a very pivotal year in positioning Ballantyne Strong for the future. I thought it might be helpful to provide a bit of context and background on where we are and where we plan to go. Some of you may remember our conference calls in 2019, we discussed that we were beginning to actively evaluate the potential to monetize our operating businesses. We've now completed two transactions with the sale of Strong Outdoor and Convergent Corporation over the past six months. Following those recent transactions, Strong Entertainment is now our primary operating business, which is comprised of our screen manufacturing business, strong MDI, and our managed services business, Strong Technical Services. In addition, we have capital allocated to three core investment holdings, GreenFirst, FG Financial and Firefly, which we will cover in more detail in a few moments. We also completed a capital raise with net proceeds of $6.7 million in February to further enhance our balance sheet and provide liquidity for growth. As a result, our balance sheet is much stronger and we have greater flexibility to scale Ballantyne. Our plan is to deploy that capital in acquiring operating businesses and investments where we see high ROI potential and we're currently evaluating a number of interesting opportunities. Turning to Slide 4, we navigated the worst of the COVID pandemic related shutdowns in mid-2020 and we've seen solid momentum returning through the second half of 2020 and continuing into early 2021. During this period, we signed new multi-year exclusive agreements with Cinemark, and we continue to be the exclusive source for all IMAX screens worldwide. On the managed services side, we signed a new exclusive agreement with Marcus Theatres. The point is not simply that we sign some new contracts. It's more an indicator of the reputation for quality and reliability, as well as the personal relationships that have been built over the decades in the industry. Operators trust the strong technical services in MDI and our people will always be there to stand with them when things are difficult. We've also launched the BrightNight program to support our customers with drive-in initiatives and we continue to see our theme park business grow even through COVID. On Slide 6, we profiled the two components of our entertainment business, both of which are positioned well to capitalize on the projected recovery in the industry. Strong Technical Services is a leader by market share in the cinema management services with 100% coverage across the U.S. What has been interesting coming through COVID is that rather than rehire IT professionals, we're seeing the pendulum swing more towards a higher degree of outsourcing, which then allows exhibitors to keep their overhead levels low and increases our ability to leverage our service techs across more screens. With demand returning, as reopening accelerates, and restrictions began to ease, nearly all of our technicians and employees have returned from furlough, so that we're prepared to meet the increasing customer needs. Strong MDI is the largest premium screen provider in North America with over 65% market share and a growing presence in China and Europe. As we said, we're the exclusive supplier to IMAX and Cinemark and we supply all the major exhibitors in the U.S. We've seen screen orders and production slowly building back as reopenings began in Q3 and continuing into Q4 and early Q1. One of our strategic objectives is to increase our market share and presence in the Asian and European markets. We also continue to see solid demand for our Eclipse curvilinear screen, from the theme parks and for military simulator applications, which provides growth and diversification to the core cinema screen business. If you look at the pace of vaccinations and reopening momentum in the U.S. currently, as well as the slate of new releases on deck and the public comments from the large exhibitors, there's a lot of excitement building for cinema, as well as for entertainment and hospitality in general. We're quite bullish on the prospects for growth as those restrictions ease, and people get back to the normal activities of going out for a drink or a meal or a movie or the theme parks post pandemic. If you refer to Slide 7, our entertainment business has been bouncing back from the worst of COVID with revenues more than doubling from the low point in Q2. That positive trend is good to see, and it's a sign of things to come as markets continue normalize in the future, but it's also still well below our normal pre-COVID revenue levels. In prior years, our revenues historically ran in a 35 to 40 mill [ph] range, and our EBITDA generally ran in the 20% of top-line range. We're certainly looking forward to getting people back in the cinemas and getting our business back to normal run rates as the industry recovers. Moving over to Slide 8; we have equity investments in two publicly traded companies: GreenFirst and FG Financial and one venture backed private company Firefly. We became an investor in Firefly through our transactions with strong digital media, where we combined our digital and static Taxicab Advertising assets with theirs in exchange for preferred shares. FG Financial, where we own approximately 21% of the common shares outstanding is making opportunistic and value oriented investments and reinsurance, real estate and related businesses. As one example, FC Financial is an investor and the sponsor of FG New America, and will participate in the economics of the SPAC sponsor, which means that BTN will indirectly participate in the economics of the SPAC sponsor as well when their transactions are successfully completed. GreenFirst where we own approximately 30% of the common shares outstanding has transformed its business and completed its initial strategic investment in the Canadian timber business. Paul Rivett and Rick Doman were well-known timber investors in the Canadian marketplace. Our position in GreenFirst to benefit from the strong demand for lumber and have plans to continue to grow that business. The share price has reacted positively increasing the value of our position over the past six months. With that I'll now turn the call over to Todd for financial review.
Todd Major: Thanks, Mark and good afternoon, everyone. Before we get started, just a quick note about the presentation of these financial slides. As a result of the sale of the strong outdoor business to Firefly in August 2020 and the sale of convergent in early 2021, we have reclassified the financial results of these segments to discontinued operations. Next few slides will include reference to only our continuing operations. Slide 10 includes the summary comparison of Q4 2020 and full year 2020 to the same periods in the prior year. Consolidated revenue and gross profit decreased 44% and 39% respectively during the fourth quarter of 2020 compared to the prior year. COVID pandemic continues to have a significant impact on the operating results of strong entertainment. Despite this significant declines in revenue; gross margin for the fourth quarter of 2020 increased to 37% compared to 34% in the prior year. Our cost savings measures and cost management initiatives are continuing to have a positive impact on overall SG&A expenses, which decreased 19% year-over-year. Lower SG&A expenses helped offset some of the reductions in gross profits. On Slide 11, strong entertainment revenues and profitability continued to rebound from the lows in Q2 2020. Gross margin during Q4 was flat compared to the prior year, even with significant declines in revenue. This can be attributed to changes in product mix as well as substantial cost reductions. Slide 12 summarizes our balance sheet as of December 2020, compared to the end of 2019. Despite the challenges of COVID during 2020, we were able to maintain adequate liquidity throughout the year via cash generated from operations and availability under our credit facility. We continued to be pleased with the performance of our investment portfolio, while the combined carrying value of our investments in FG Financial Group and GreenFirst Forest Products was just over $7 million at the end of 2020. The market value of these investments as estimated using their stock price was almost $13 million. Further, our investment in Firefly increased to approximately $13 million at the end of 2020 as a result of the August 2020 transaction and additional cash investment during 2020. In addition, the sale of convergent and the proceeds from the stock offering in early February 2020 combined to significantly strengthen our balance sheet subsequent to the end of 2020. In terms of both increase in our cash position, as well as a reduction to our debt and lease obligations. Although we have recently improved our liquidity, we will continue to closely monitor our overall operating expense levels as we return to more normalized business levels. With that let me turn the call back to Mark.
Mark Roberson: Thanks, Todd. Our goal going forward is to build Ballantyne Strong into a larger public operating company with greater scale. We also plan to manage our investment holdings to create value. Strong entertainments brand is trusted in the industry and getting stronger. We are the leader in the screen business, and we expect our managed services offerings to see increased demand post pandemic. With the pipeline of blockbuster movies anticipated theaters over the next year; we're expecting a significant resurgence in cinema tenants in the U.S. that bodes well for our customers, as well as for our entertainment business. We have three investments, all of which have made considerable progress with their growth strategies over the past six months. We feel there is considerable unrealized value in these assets with potential for both future capital appreciation and potential additional liquidity down the road. Finally, we have considerably enhanced our financial position, increasing cash on hand and reducing debt, our goal is to build a much larger business, both organically and potentially through acquisition. With that we'll wrap-up and now open the call for any questions you may have.
Operator: [Operator Instructions] Our first question comes from the line of Brett Reiss with Janney Montgomery Scott. You may proceed with your question.
Brett Reiss: Hi gentlemen new to the situation. Thank you for the opportunity of being able to ask some questions. I just want to pin down the cash, the other current assets is that – is that cash equivalent by treasury bills and things like that. So you have about $14 million in cash?
Mark Roberson: Hey Brett, thanks for calling in. After the transaction posts we should probably talk about it post December 31st. We've got a lot of activity after the end of the year. We had $4 million on the balance sheet as of the end of the year. If you look at the current cash position of the company after the close of the year, we're currently writing right in the low twenties, right around $23 million of cash on the book.
Brett Reiss: Okay. And that's from the $6.7 million of the secondary plus convergence was what about $15 million?
Mark Roberson: Yes. Brett, convergent was $15 million. Off that $15 million there were a couple of million that were escrowed whole backs. So there's a cash piece of the convergent transaction that will turn into cash over the next 12 months as those identifications expire.
Brett Reiss: Okay. Now in the 2020 calendar year where investments went from $13.3 million to $20.1 million, that $7 million, what – the $7 million was invested where?
Mark Roberson: Yes. Absolutely. So the current – the current investment portfolio is comprised of Firefly, GreenFirst, which is formally Itasca and FG Financial, which was formally $13.4 investment partners. The $20 million, $13 million of the $20 million is comprised of our investment Firefly and the remaining $7 million is comprised of the investment then GreenFirst and FG Financial.
Brett Reiss: Okay. Now the investment in Firefly, do you know what percentage of the total company that $13 million represents?
Mark Roberson: Yes. I know approximately where that sits in terms of the capital stack in terms of the common equity on a fully diluted basis, it's give or take between 5% and 7% as a percent of the preferred shares, it's probably double that in terms of the percent of the preferred.
Brett Reiss: Okay. And do you know what Google Ventures interest is? And the other major shareholder?
Mark Roberson: Google Ventures and NFX and Ballantyne are the three largest shareholders. I can tell you that, I can't tell you their exact share count of percentages, but between the three of us, we're the three largest of the shareholders of Firefly.
Brett Reiss: Okay. Now, when you go to sleep at night, with a wishlist of what happens with Firefly, what would you like to see happen in the next year to 18 months?
Mark Roberson: Yes, that's a really good question. And the CEO at Firefly probably has - is an even greater wish list than I do knowing him, but my wish list would be to see them continue to expand their digital advertising network in major metropolitan cities, particularly as you'd come out of COVID, I think they've got a lot of growth ahead of them. And I think – I think at some point in the near future, in my dreams at night, there would certainly be a liquidity event involving Firefly where they built public offering or some form of liquidation event where we get to participate in that with our preferred shares and have a – and have a nice gain on this investment.
Brett Reiss: Right, right now, Mark, you're sitting, for a company your size, the $23 million cash hoard that's a fair amount of money.
Mark Roberson: Yes.
Brett Reiss: What is the investment philosophy or process of where you guys are going to deploy it? You touched on it a little bit in your introductory comments. I mean, the things you already own are an eclectic mix of very interesting things. Is it going to be more of that? Anything that's cheap you'll buy, or are you going to focus your attention in one particular area, or is it more niche acquisitions to grow your operating business? What are you guys leaning towards?
Mark Roberson: Yes. Our strategy with the acquisitions is primarily – and we're not necessarily ruling, leaving out that our strategy is to leverage our expertise across the board and our management team in businesses that we see that have a high ROI opportunity. And we have quite a bit of domain experience and hospitality and media, obviously with weather entertainment group and Ballantyne and through the experience its residents within our team and within our Board of Directors. But we're not necessarily wed to a specific vertical, we're looking for good investments and good businesses that can scale and drive cash flow and capital appreciation over time. And we think coming out of COVID, there might be some interesting opportunities along those lines. That could be very interesting going forward.
Brett Reiss: Right. I've been on these calls. I'm going to drop back because there may be other questioners, but I do have a couple of other questions, but I'll drop back in the queue. But thank you for answering my questions so far.
Mark Roberson: Yes. Thank you, Brett. Appreciate it.
Operator: Our next question comes from the line of Jon Old with Long Meadow Investors. You may proceed with your question.
Jon Old: Hey Mark. Thanks for doing the call.
Mark Roberson: Hey John.
Jon Old: How are you?
Mark Roberson: I am good. How are you?
Jon Old: I am looking forward to [indiscernible] I'm going to get through all this stuff.
Mark Roberson: Good.
Jon Old: Quick questions. Just a couple from me; quick question on Strong's business. Do you think the – your sense that given the past year where there's been really nothing going on, that there's a sort of a groundswell or pent-up demand and hence sort of capital spending possibilities on the part of the cinema business, such that you might see sort of a bigger surge and return to even a place higher than where you were before? That's sort of on the domestic side. And then the other – my other question with cinema businesses is the European/Asian market. I assume the addressable market is probably as big or bigger. And do you think that we can make our business there as big as it is in the U.S. over a period of years?
Mark Roberson: Yes. Yes. Thanks, Jon. I'll start with the last question first. I think as far as the international opportunities, I think, Europe is – Europe is a little more fragmented in terms of the exhibitor base there, but it's approximately the same size. United States market in terms of number of screens out there, and we have a very small market share in that space, certainly as compared to our market share in the North American markets. And we believe we have considerable room to improve that market share metric over time. And we intend to put effort into doing that in a number of ways. In China, Asia, in the Middle East as well, which is a fast growing cinema market. We sell quite a bit into China, primarily through IMAX. We think there's additional opportunity there to grow that market. We had right before COVID hit we had planned to open a warehouse in country in China in order to improve the logistics and customer service levels to increase our penetration in that market. Obviously with COVID coming last spring, we had to pause that activity. But we intend as soon as we're able to travel between countries a little more freely, we intend to proceed with that and believe that we'll be able to increase our market share in China, as well as provide better customer service to our existing customers in that market. Now in the U.S. with regards to the pent-up demand and what we see going forward, if you – if we have our crystal ball and also listen to what we're hearing, given the public comments from the large exhibitors, like IMAX and AMC and some others, there's a lot of bullishness looking ahead into particularly into the second half and fourth quarter of this year and on into 2021 in terms of pent-up demand from the consumer base, the return, the cinemas as well as restaurants and other attractions But in particular cinemas, because there's a tremendous backlog of blockbuster movies that were intended to be released during 2020 and the first half of 2021 that are now being slated for the second half 2021, and on out into 2022. There's going to be a lot of good content, which is the primary thing. I think the cinema operators are waiting for in terms of being able to get more back to normal in the areas where they're open – they're still open with limited capacity, but the real issue is they don't have as much content to show, to drive consumers into theaters. And we think that's going to be the opposite by the time we get to the second half of this year, there's going to be a lot of the features for the consumers to see. And I think it's going to be – going to be very good for the exhibitors and obviously very good for us.
Jon Old: Right. Okay. Thanks. And then a quick question on Firefly, if I could. So if we own, let's just say 6% at the middle of your range that would imply a value a little over $200 million. What are their metrics? What are they in and I would assume they're probably picking up with the Uber's and the taxis and all those things doing better, things opening. What I don't know whether our – I'm not sure if I prefer it as value that sort of a face value, or whether it's reflects the current market value, but if they've done any fundraising transactions, I mean, just any, any more color on what Firefly might be worth would be helpful?
Mark Roberson: Yes. Yes. I mean, obviously they're private companies, so a lot of their metrics are not publicly available. But, I can tell you, they have continued to raise some capital and they're continuing to raise capital at the same valuation pricing levels that we're invested in, and that we're carrying it on our books today.
Jon Old: Okay. So there's not – it's not a – there isn't currently there's not a – there's not a sense of a huge sort of unrealized hidden value there?
Mark Roberson: Yes. I think the value is in line with their current capital raising activity. The increase in value and then realized value, there will be realized when they have a broader liquidity event.
Jon Old: Okay. And then my last one for me, I just – just thinking long-term, whatever really long-term, you've got one operating business and three investments. I mean, what is Ballantyne going to look like in five years? Is it going to keep making separate minority investments? Is it going to be more of an operating – much more of an operating business with cash flows and throwing off and buy more businesses? Or is it a mix of both, or I just feel for what strategically long-term, it's going to look like?
Mark Roberson: Yes. I mean, we think there's tremendous capital appreciation and eventually cash flow opportunities in investment portfolio, but our ultimate goal was really the build Ballantyne into a larger operating company from an operating standpoint with greater scale and greater cash flow.
Jon Old: Great. Appreciate it. Thank you very much.
Mark Roberson: Thanks, Jon.
Operator: [Operator Instructions] Our next question comes from the line of Sam Rebotsky with SER Asset Management. You may proceed with your question.
Sam Rebotsky: Yes. We have reduced one of our 5% holder and seems to be a new 5% holder. Did we discuss the 5% holder that is selling their stock, why they are selling or anything about that?
Mark Roberson: Hey, Sam, thanks for calling in. I'm sorry, which 5% holder you're referring too?
Sam Rebotsky: I referring to the automat the more than 10% that's been selling on a regular basis.
Mark Roberson: Yes. I'm not aware of any sales and there haven't been any sales from the Management or Board of Directors or insider related parties, which hold roughly 30% of the equity of the company.
Sam Rebotsky: Did they participate in the public offering?
Mark Roberson: No. They would – there was not an insider participation in the public offering. That was a pure public – third-party public offering.
Sam Rebotsky: Okay. And I'm trying to think of the – the name escapes me of the large holder that just filed for the sale…
Mark Roberson: I believe are you talking about Ariel, who filed 13-G?
Sam Rebotsky: Yes, yes, yes.
Mark Roberson: Yes. So, Ariel has been a long-time holder. They manage – they've been in the name a long time. They manage money for other people in their funds sitting in their account. So I'm unaware of the specifics of their sale, although I imagine they probably had redemptions in their accounts, which required them to lighten up the share base.
Sam Rebotsky: Okay. Thank you.
Mark Roberson: Thanks Sam.
Operator: Our next question comes from the line of Mike Conan. You may proceed with your question.
Mike Conan: Yes, nice to meet you, Mark and Todd. Hey, I'm a retired air force, a new investor in our company here. And I heard you mentioned military simulators. I'm familiar with them. Could you talk a little bit about our position in them?
Mark Roberson: Yes, that's – yes, thanks for calling in and asking the question. That's a relatively – actually a very new area for us that culminated from our screen business at MDI just to backup a few moments. As part of our screen manufacturing operations, we manufacture all of our own paints and coatings in the facility that are used on all of our cinema screens, which is one of the competitive advantages that we feel very strongly about at MDI from the screen business that allows us to have the best quality industry from the properties of light reflectivity and gain and all of – all kinds of other things that folks like IMAX and others care about. Well, long story short, as a result of our investment in those coating and capabilities, we also have a group – a screen – a product called Eclipse. Eclipse is our curvilinear. It's not – if you imagine a cinema screen that's a flat screen on the wall, the Eclipse screen is more of a solid structure and an immersive experience if you've been to one of the theme parks and one of the flying overrides or something like that. You can imagine this is a large enclosed kind of structure where the entire structure is a screen and our coatings are used in those types of facilities – in those types of products. So we've been deploying those – really just started that probably three to four years ago. It's been growing slowly as we've been working on that product. It's starting to take off and grow to be a more meaningful part of our MDI business. And it's primarily geared again towards theme park applications.
Mike Conan: Excellent.
Mark Roberson: However, we recently have done a couple of installations with the military where it's being used in flight simulator applications. So it's a very new aspect for us that we're very excited about.
Mike Conan: That is exciting. Would you consider us more a hardware company or a software? And how do you think we'll be able to participate in the entertainment resurgence next year?
Mark Roberson: Yes, we're definitely – I would not characterize as a software company. We're more of a hard goods company in terms of the screens both on the cinema and the theme park in the military simulator side, and we sell projection equipment and we're a services company through a managed services offerings. And we do a little bit with software, but we're certainly don't hold ourselves out to be a software company. But I believe as you see the cinema business rebound probably coming as early as June or July when top gun comes out and everyone is preparing most new releases. There's a lot of effort that goes into gearing the cinemas up to be ready when people come back and to be ready for the masters. They want everything to be perfect. They want the projectors working properly. They want the audio equipment working properly. And a lot of what we do, particularly in our STS managed services businesses, we provide those services to the cinemas. So, as we see the cinema start to resurge, we'll see increased demand for our services. And another element of that as a result of COVID, the large cinema exhibitors, they maintain some service techs on staff and to varying degrees. And then they either use us purely for outsourcing in some cases, or they use us as a supplement to their internal staff.
Mike Conan: Excellent.
Mark Roberson: One thing that we've seen with COVID is a lot of those service techs were internal to the large exhibitors are no longer with those companies. And they don't appear to have intentions of re-staffing up now that they've gotten lean through COVID. So we expect to see a lot more outsourcing and we're obviously in a good place to be for providing those outsource services through our service tech network.
Mike Conan: Super. And then finally, I heard you talk about the mix where would you place the participation of these other investments versus your core competencies over time?
Mark Roberson: I'm sorry, can you state that again?
Mike Conan: Yes. The mix of income sources you talked about two or three different investments. How do those – what would be the percentage of participation of the investments on one side versus your core competencies on the other?
Mark Roberson: Yes, I mean, I expect that we'll see our operating businesses grow much more significantly, but I also think in terms of driving cash flow and revenue, but I do think there's significant capital appreciation and future liquidity opportunities within the investment portfolio as well.
Mike Conan: Excellent. Hey, I'm looking forward to some serious gains here, sir.
Mark Roberson: Good. Well, thank you, Mike. Appreciate it. Thanks for calling in.
Operator: Our next question comes from the line of [indiscernible]. You may proceed with your question.
Unidentified Analyst: Hi, guys. I have two questions.
Mark Roberson: Hi, Steve.
Unidentified Analyst: Hi. What was the thinking behind the secondary offering? You just sold Convergent. You had plenty of cash. Balance sheet was looking better. No immediate need, stock was trading. You did the deal below book value. Why not just do an ATM, the stock was trading very well above three and just dribble it out. Why hammer the stock at that point – put stuff into the marketplace? Second question, I don't know if you have any color on it on Fundamental Global's 10b5 plan. It seemed like they stopped buying in December. I don't think they had maxed out the amount of shares under their 10b5. Do you know if that plan was canceled or any color on what happened in that situation?
Mark Roberson: Yes, yes – on the first one, I believe, the 10b5 was maxed out. It was not canceled early. I believe it expire due to being it hit its limit and maxed out. On the capital raise, I mean, obviously the board and management are meaningful shareholders in the company. So we take the issuance of shares very seriously. And there are multiple ways that we can accomplish that. But our long-term goal, as we've stated, is really to be a much larger and more profitable public company over time. And in order to get there having a strong balance sheet and dry powder to execute is a competitive advantage. So we felt like we – it's nice that we sold Convergent and significantly improved the balance sheet. But in order to execute on those plans, we believe it was appropriate to have more, more capital on the balance sheet in order to proceed forward.
Unidentified Analyst: Got it. As far as FGF, is that something, I mean, you definitely had – it went from being a very sleepy kind of stock that rarely traded having some real runs and huge volume as people took it up. It was trading well above any sort of intrinsic value for the company, especially at FNHC, its main holding has collapsed. Any reason the company didn't try to monetize into that and take advantage of that liquidity at those elevated prices?
Mark Roberson: Yes. Well, we think there things going on within all of our investments that we can certainly monetize them at the appropriate time. We actually feel like there are things going in within FGF and value being created within FGF that is not realized yet that we would like to continue to participate in. So, hammering their shares with a sale would probably not be in the best interest of our investment or in their plans as well. So, I think, we can afford to be patient. I think there are good things on the rise and for FGF in terms of their investment and participation. They're obviously getting the flow through from FedNat right now. But hopefully that's behind them and hopefully that will continue to move forward in a positive direction. I think FedNat has announced that they're exploring strategic alternatives on their own. So, we'll see where that goes. But with regards to both GreenFirst and FGF, the question has come up a few times, well, why don't you just sell them? And again, I think, in order to maximize our valuation in those, we think those – both of those positions have very interesting opportunities ahead of them and we're still bullish on them. And we believe that it's appropriate to give those a little more time for monetizing those investments.
Unidentified Analyst: Yes, I hope so. Yes, on FedNat unfortunately they announced the massive secondary, which they just haven't priced. And unfortunately I think the next direction is down for them before they have a chance to really bottom out with the amount of stock they're trying to sell. So that's just going to dilute the value even more, but hopefully things turnaround in the short-term and we can monetize it a little bit. Appreciate it. Thanks.
Mark Roberson: Okay, thanks. Steve.
Operator: Our next question comes from the line of Brett Reiss with Janney Montgomery Scott. You may proceed with your question.
Brett Reiss: Thanks a lot for allowing me a couple of follow-ups. Is there a break…
Mark Roberson: Yes.
Brett Reiss: Mark, is there a breakeven revenue number where we can operate at cash flow breakeven that you can share with us?
Mark Roberson: Well, I guess, I would put at this way. If you look at our entertainment business, it's obviously not performing where we'd like it to be at this moment in time. Obviously due to the obvious reasons of COVID and what's going on in the cinema space for the second half of 2020 and still continuing into early 2021, although we're bullish on where it's going to be in several quarters or a year from now. But if you look at that business, even in the worst of COVID it's currently operating more or less of EBITDA breakeven, which I think is quite a testament to that business given what's occurred in the cinema business and all, restaurants and entertainment as a whole during the middle of this year that they were able to manage our way through it and we're able to cut costs and rationalize things and avoid bleeding from COVID during the worst of the pandemic. So, it's kind of breakeven now. As we look forward, I see it coming back to pre-COVID levels, hopefully better, time will tell. Pre-COVID it was doing $35 million to $40 million in revenue and 8 or so million of adjusted EBITDA. The other aspect of that is – in addition to that we have corporate public company costs and corporate overhead. Our corporate overhead we've cut pretty significantly over the past two to three years. We've taken a couple of million out of corporate overhead from 2018 to 2020. And we anticipate taking another chunk out of that in 2021. So, you'll see corporate overhead continue to go down as we see the cinema business resurge. So I think hopefully that answers your question.
Brett Reiss: Right, right. Well, what is the corporate run rate on corporate overhead and aspiration wise what do you think you're looking to get it down to?
Mark Roberson: Yes, corporate overhead coming out of 2020, we've reduced it significantly. We did a lot of restructuring. We did a lot of cost-cutting, some of it through COVID, reaction to COVID and accelerating things that we're already in the works to further reduce the overhead levels. Total corporate G&A was $8 million to $9 million, two to three years ago, finished 2020 running right around $6 million, a million of that's non-cash. So roughly $5 million to $6 million of cash G&A.
Brett Reiss: Right.
Mark Roberson: And, as I said, I believe based on the plans that we have in place, we'll easily take another $1 million to $2 million out of that number in 2021.
Brett Reiss: Right, right. And one final one. And I appreciate you're taking all my questions. Is there any issue that you really have to be diligent and vigilant on of counterparty risk in selling to some of your cinema customers could – could some of them do have challenged balance sheets. How do you work through that?
Mark Roberson: Yes, well, we were – we have been very concerned about that. Particularly in the early part of 2020 when we're sitting here in April and May of 2020, we were extremely concerned about where are we going to get paid and who was going to pay and who is not going to pay. And we took reserves on more receivables in the first quarter of the year than we probably ever had before. We've actually been pleasantly surprised that we've had really almost no actual collection write-offs in the company during the time. We've had to work with some exhibitors. We've had provide some terms, but we've really had very little if any write-offs and just inability to collect even coming through COVID. So, now I'll look at it and I think a lot of the exhibitors have recapitalized their balance sheets. They're preparing themselves for what's coming as people return to the cinemas. It's an industry where people generally pay their bills. And I've been pleased to see that that has continued even during these times. So we're always going to be vigilant. We have to continue to be vigilant, but so far the experience has been pretty positive.
Brett Reiss: Thank you for answering my questions. And please, you guys should go and have some dinner.
Mark Roberson: Thank you so much. Appreciate you calling, Brett.
Operator: Ladies and gentlemen, we have reached the end of today's question-and-answer session. I would like to turn this call back over to Mr. Mark Roberson for closing remarks.
Mark Roberson: Okay, Laura, thank you everyone for joining today. If you have other questions or would just like a follow-up feel free to reach out and well certainly I'd be happy to speak with you. Our contact information is on the earnings release as well as website. And thank you everyone and have a good evening.
Operator: Thank you for joining us today. This concludes today's conference. You may disconnect your lines at this time. Enjoy the rest of your evening.